Operator: Good day. My name is Savannah, and I will be your conference operator for today. At this time, I would like to welcome everyone to the Proterra Third Quarter 2022 Earnings Call. Today's call is being recorded. All lines have been placed on mute to prevent any background noise, and after the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And I would now like to turn the conference over to Proterra’s, Vice President of Investor Relations, Aaron Chew. Please go ahead.
Aaron Chew: Thank you, operator. And thank you all for joining us for Proterra's third quarter 2022 conference call. Joining us today from Proterra are our CEO, Gareth Joyce; and our CFO, Karina Padilla. After the markets closed, we published our quarterly letter on our website and in an SEC filing, which we encourage everyone to read for details on our financials and insights into our operating results and strategy, industry dynamics and outlook. During this conference call, we will make statements related to our business and industry that are forward-looking statements under federal securities laws. These statements are not guarantees of future performance. They are subject to a variety of risks and uncertainties. Our actual results could differ materially from expectations reflected in any forward-looking statements. For a discussion of the material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC's website and via the Investor Relations section of our website. Additionally, non-GAAP financial measures will be discussed on today's conference call. A reconciliation of these measures to their most directly comparable GAAP financial measures can be found in today's quarterly letter. We will kick off the call today by introducing our Chief Executive Officer, Gareth Joyce, for his opening remarks. Gareth?
Gareth Joyce: Thank you, Aaron, and to everyone for joining us on the call today. Q3 2022 was a breakthrough quarter for Proterra. Not only did we report record quarterly revenue of $96 million, almost 30% above our prior record in Q2 2022, but this was driven by new hires in revenue across both of our business units, along with record production and deliveries at Proterra Transit. As our team works hard to execute while navigating a still challenging supply chain, beyond our own results, significant progress has been made over the last few months with multiple new US government funding programs, supporting our target market of electric commercial vehicles with the bipartisan infrastructure law funding awarded over the last few months and the passage of the Inflation Reduction Act that should have a transformational impact on commercial vehicle electrification in the quarters and years that lie ahead. For the call today, I will kick it off by providing our key operational highlights for the quarter by business unit. Then I will pass it over to Karina to review the financial details on revenue, gross margin, adjusted EBITDA and cash. Before I close;, the commentary on our guidance; the impact on demand that we expect these government funding programs to enable; and some of our strategic initiatives to maintain our status as a central player in this market. Diving first into our execution in Q3. We generated record revenue of $96 million in the quarter. The growth of 55% year-over-year was driven by new hires in revenue for both Proterra Powered and Energy and Proterra Transit. Proterra Powered and Energy revenue grew more than three times year-over-year to a new high of $40 million, driven by both Proterra Powered deliveries more than tripling year-over-year to 292 battery systems as well as Proterra Energy delivery is jumping to a new record of more than 22 megawatts, up 765% year-over-year. On Proterra Powered in particular, we continue to experience strong demand with delivery to nine different OEMs in the quarter, spanning a wide range of vehicles from school buses to coach prices to Class 3, 5, 7, 8 and off-highway commercial vehicles. And we're really starting to see a meaningful uptick in demand for electric school buses in particular. Following the announcement of Daimler Truck Groups, Thomas Built Buses a delivery of its 200th Proterra Powered C2 Jouley electric school bus, approximately $900 million was awarded just last week, specifically for the purchase of electric school buses to 377 school districts across the country. Orders must be placed with this funding by April 2023 and around another $1 billion of the $5 billion program is expected to be released in 2023. Through September 30, Proterra Powered has now delivered battery systems to more than 1,300 vehicles since our first deliveries in 2018 and more than 1,000 in the last four quarters alone. Importantly, this excludes Proterra Transit. Battery production, including Proterra Transit rose 51% year-over-year to 94 megawatt hours in Q3 2022. And we have now cumulatively produced just under 750 megawatt hours of heavy-duty batteries for commercial and industrial vehicles. With our new factory in Greer, South Carolina, which we are calling Powered 1, scheduled to come online by year end our battery production output should continue to grow materially in 2023, just as we expect our OEM partners to hit critical milestones in the development of their Proterra Powered vehicles on the way towards start of production. For instance, Komatsu showcased its new Proterra Powered 20-tonne electric excavator last week at the Bauma 2022 trade fair in Germany ahead of its expected introduction to the European and Japanese markets next year. The Shyft Group held a ride-and-drive event in October for its Blue A Class III electric delivery vehicle using Proterra powered batteries. Volta Trucks introduced its second-generation Proterra Powered Volta zeros for production verification. Anadolu Isuzu, premiered its Proterra powered City Vol 12 electric bus at the IAA Transportation Conference. And Bustech unveiled its ZDi 450 Proterra Powered electric transit bus at the Australasia Bus and Coach Expo last month. In addition to this, Proterra Powered also signed a supply contract with a new customer in Q3. Rev Group's EMC, formerly known as ElDorado National California, we will be supplying our H Series batteries for EMC's 32, 35- and 40-foot access EVO battery electric transit buses in North America. This one is significant, as it is our first Proterra Powered partnership that serves the same end market as Proterra Transit and underscores the high confidence we have in what our transit product offers beyond the battery. And also supports our aspirations to capture as much value as possible from the rapid adoption of electric transit buses across North America. But we believe our Proterra Powered business is starting to gain meaningful momentum. Moving on, Proterra Energy reported a very strong quarter in Q3. Supply chain limitations that had held back project execution in recent quarters eased and we completed our largest single customer project to date at 9 megawatts of charging infrastructure installed for Miami-Dade transit. While also experiencing continued growth in non-transit bus vehicle segments, most notably school buses, and this is prior to any funding from the EPA's new clean school bus program. Q3 helped demonstrate how Proterra Energy with more than 5 megawatts delivered to non-transit bus customers in the quarter is expanding beyond the transit bus segment. So all in, Proterra Energy delivered more than 22 megawatts of DC fast charger solutions, up 765% year-over-year. This included delivery of three of our megawatt scale charges. To put this in perspective, 22 megawatts is equivalent of more than 3,000 residential EV charges. Lastly, on Proterra Transit, revenue grew 12% year-over-year to a new high of $56 million, as we achieved a new record in delivery of 60 new electric transit buses along with 5 pre-owned buses in the quarter. Improvements in our production processes that have recently been implemented and the hard work and focus of our team enabled us to grow bus production and delivery to a new record even without adding a full second shift. To be clear, despite our execution in Q3, though and the record production and deliveries achieved by Proterra Transit, the coast is no way clear when it comes to the supply chain, and we continue to confront challenges, particularly with regard to wiring harness shortages. But overall, we're feeling more confident about our ability to grow transit production over the next couple of years. All in, as you can see, Q3 was a breakthrough quarter for us all around. Based on our performance through the first three quarters and our current views on Q4, which has 17% fewer working days than Q3 due to the holidays, and downtime for year-end inventory, we are maintaining our 2022 revenue guidance range of $300 million to $325 million, representing growth of 24% and to 34% year-over-year. We are not narrowing our guidance at this juncture, as we continue to face some uncertainty around the supply chain that could affect transit production in the final quarter of the year. Now I'll pass it over to our CFO, Karina Padilla to provide deeper insights into our financial performance.
Karina Padilla: Thanks, Gareth. Before I dive into the details of our financial performance in the third quarter regarding revenue, gross margin, adjusted EBITDA and cash, I'd like to take a minute to celebrate and congratulate all of the Proterra team members for achieving another record-breaking revenue quarter, exceeding the $95 million revenue mark. Now on to our financial performance, starting with top line results. Consolidated revenue was $96.2 million, representing growth of 55% year-over-year and 29% sequentially. Proterra Powered & Energy grew 239% year-over-year and 68% sequentially to reach $39.9 million in quarterly revenue for the first time. Proterra Powered & Energy represented more than 40% of total revenue in the quarter, more than doubling its 19% contribution in Q3 of the prior year. For perspective, we reported more revenue in the third quarter of 2022 than we did through the first three quarters of 2021 combined. Growth was driven by triple-digit percentage increase in deliveries for both Proterra Powered and Proterra Energy. Proterra Powered delivery grew 274% year-over-year to 292 battery systems. Though down sequentially on an absolute basis, this was primarily due to product mix, as we delivered batteries to fewer vehicles, but with higher energy per vehicle. Almost 3/4 of our Q3 deliveries were for vehicles using batteries larger than 200 kilowatt hours, up from less than 50% in the previous quarter. Proterra Energy delivered 22.5 megawatts of heavy-duty fleet-specific DC fast chargers in the quarter, up 765% year-over-year and 655% sequentially. Proterra Energy delivered more megawatts in the third quarter than it did in the prior six quarters combined. Deliveries span 23 different customers in the quarter and included our largest single project to date, 9 megawatts with one customer, as well as 10 different electric school bus charging projects. At Proterra Transit, revenue in the quarter was $56.4 million, representing 12% growth year-over-year and 11% sequential growth. As Gareth discussed, we delivered a record 60 new electric buses in the quarter, as well as five pre-owned buses. New electric transit bus deliveries in Q3 included Miami-Dade Transit, which received the first 29 of its total order of 75 electric transit buses and Dallas Area Rapid Transit, whose fleet now includes eight Proterra Electric transit buses, including SMART Bus in Troy, Michigan, which received its first EV buses ever, and Wayne County Airport Authority servicing the Detroit Metropolitan Airport. Moving on to gross margins and adjusted EBITDA. We reported a gross loss of $1.2 million in the third quarter. This compares to a gross profit of $2.7 million in Q3, 2021, which included a one-time warranty benefit and a gross profit of $555,000 in Q2 of 2022. Our Q3 gross margin was negatively impacted by a high mix of delivery volumes still subject to legacy contracts with pre-inflation pricing. For perspective, approximately 40% of this quarter's revenue was delivered under these legacy contracts. We also incurred more than $2 million of start-up costs associated with our Powered 1 factory that is scheduled to begin production by the end of the year. Operationally, we continue to see laser focused on execution. Q3 gross margin benefited from better labor utilization and fixed cost absorption from our record delivery volume. We also saw significant improvement as a result of tight cost control we've implemented, particularly around freight expedite. However, these benefits were more than offset by the higher cost to deliver our legacy contracts in the quarter and one-time Powered One [ph] start-up costs. Our adjusted EBITDA loss in Q3 was $46 million, driven largely by our operating expenses of approximately $57 million, plus non-cash stock compensation of $5 million. Operating expense in the quarter grew $24 million year-over-year. This includes $1.6 million related to startup costs for Powered One factory that is under construction. If I were to break down the primary drivers of our growth starting from largest to smallest, they would be as follows; 45% of the year-over-year growth in our operating expenses came from higher costs, specifically related to our facility as well as the insurance and taxes related to support those facilities. For example, one of our facilities has experienced rent increase of more than 56% over the last three-year period and is estimated to increase over 250% over a five-year period from 2019 through 2024. 30% of the operating expense growth was driven by research and development costs dedicated to support our strategic growth programs and 15% was from general and administrative expenses to support the growth of our business and the expenses relating to operating as a public company. Finally, on cash. We continue to be supported by strong balance sheet, ending the quarter with $408 million in cash, cash equivalents and short-term investments. As we've been mentioning since the beginning of the year, we are expecting a higher than normal cash burn in 2022 as a result of our investment in our Powered One factory. Consistent with Q2 of 2022, there were a number of discrete investments and timing factors that led to higher than normal cash usage in the quarter. Total cash usage in the quarter was $115 million. This included $14 million in CapEx, almost all of which was related to the construction of Powered One, $25 million related to a strategic equity investment in a privately held entity that we expect to diversify our domestic cell supply into other chemistries, which Gareth will discuss in greater detail in a few minutes, a $20 million increase in accounts receivable due to a significant portion of our bus deliveries landing late in the quarter, as well as a $16 million increase in inventory. The growth in inventory is strategic and deliberate with most of the increase in raw materials, 90% of which was to support the Powered and Energy business. The growth in inventory, as I mentioned, is intentional to prepare us for the startup production at Powered One by the end of the year, while ensuring smooth production to support on-time delivery to our customers across both business units. Excluding these items, cash usage was closer to $40 million in the quarter. Cash and liquidity is a top priority for us, and it will continue to be. We are allocating our cash to the areas we believe are most critical to reinforcing our market leadership and position us for growth in the years ahead. Ending the quarter with a cash and cash equivalents balance of more than $400 million, we believe we have the flexibility to navigate these kinds of economic uncertainty and capital market volatility in an advantageous competitive position just as electric commercial vehicle adoption begins to accelerate. I couldn't be more excited about what lies ahead for Proterra. On top of our leadership in battery technology, the strength of our balance sheet and the breadth of our established commercial vehicle partnerships, we now expect to have additional tailwinds from multiple government programs. So it may not be a smooth ride given the volatility we're seeing in the global markets and continued challenges with supply chain disruption, geopolitical instability and inflation. But I believe we have the fundamental ingredients to deliver on our financial commitments and generate strong growth and shareholder returns over the long-term. And with that, I'll pass it back to Gareth. Gareth?
Gareth Joyce : Thanks, Karina. We spent the bulk of our time on this call on our Q3 performance, but I think it's important to spend a few minutes closing the call with some bigger picture commentary on the outlook for the electric commercial vehicle market, and our strategy to capture the right target market opportunity. Proterra has been a central player in the electric commercial vehicle industry for many years now, as a leader in heavy-duty battery and electrification technology. And while we have enjoyed solid growth in deliveries and revenue over the years, it's become more and more obvious recently that we are merely scratching the surface. And we believe that commercial vehicle electrification is on the verge of going mainstream. Over just the last few months, multiple programs in the United States have either launched or being passed that provide an unprecedented level of funding to help accelerate the adoption of cleaner, quieter, electric commercial and industrial vehicles. First and foremost, awards have been announced for the first year of funding from the approximately $7 billion dedicated to zero emission transit buses and school buses that was approved as part of the Bipartisan Infrastructure Law of 2021. On electric transit buses, recipients are funding from the Low or No Emission Vehicle Program were announced in August with $829 million explicitly dedicated to zero emission buses and related infrastructure, suggesting significant growth in orders across the industry over the next few quarters. Importantly, another batch of around $800 million in awards will be announced again next year and for that matter, each year through 2026. Separately, electric school buses recipients of the first year of funding from the EPA's new Clean School Bus program were announced last week. For this first batch of $965 million of awards for fiscal year 2022, the EPA received applications for more than $4 billion, totaling 12,000 electric school buses. And though as much as 50% of the awards could have been given to low emission buses like propane, 95% of the vehicles that were awarded funding were electric school buses. In total, about $900 million was awarded for the purchase of more than 2,350 electric school buses spanning all 50 states plus Puerto Rico. Recipients was used as funding or robust by April 2023 and the bus must be delivered before October 2024. And we expect up to another $1 billion of funding out of this $5 billion program to be released in 2023. Now beyond this funding dedicated to zero-emission transit and school buses, the new Inflation Reduction Act passed in August 2022 provides an even greater level of funding to support the electrification of other commercial vehicles from delivery vans to Class 8 trucks to off-highway vehicles. The sense piece of this legislation for our industry is the commercial clean vehicle credit of up to 30% of the price of new zero emission Class 4 to Class 8 commercial vehicles up to a maximum of $40,000 per vehicle. When this credit goes into effect in 2023, we expect it to be transformational for electric commercial or industrial vehicle demand. Unlike passenger vehicles, as many of you know, commercial vehicle demand is significantly driven by vehicle capability and total cost of ownership. Additionally, new state regulations in California and New York will ban the sale of internal combustion medium and heavy-duty trucks by 2045, and now the commercial clean vehicle credit should help make the total cost of ownership of electric trucks and commercial vehicles, even more competitive with diesel. And most importantly, for Proterra, we expect to be able to apply for the battery production credit of $10 per kilowatt hour for domestic module manufacturing. So with these programs starting to unfold, we believe we have entered a new era of demand for commercial vehicle electrification. Our primary goal is to be the premier battery and electric powertrain technology provider to the commercial vehicle markets, particularly in our core markets of North America and Europe. There are two critical elements of our strategy to achieve this goal. First, is to develop and maintain technology leadership in the marketplace that not only meets today's demand, they can accelerate tomorrow. Secondly, is to rapidly ramp localized manufacturing capacity and supply chain. On the technology front, we remain a leader in heavy-duty batteries and electrification technology, demonstrated by the breadth of vehicle programs and OEMs we are expect to be supplying and our best-in-class gravimetric and volumetric energy density cycle life and safety characteristics. Our battery technology today is centered on NCM nickel-based cylindrical cells, which already leads the market in performance for all the advantages it offers. We still see this as the foundational chemistry to our product portfolio. We have also made a strategic equity investment in a battery cell manufacturer that we expect will provide us preferred access to lithium iron phosphate or LFP as it's more widely known battery cells that will be manufactured in the United States, which will not only help us expand our product portfolio to a broader set of the electric commercial vehicle market that we don't target today, but also helps us secure a local supply of LFP battery cells. Importantly, over 90% of iron-based cells are produced in China today, making them a perfect for our customers focusing on localizing their supply chains. So this should provide us with another key strategic advantage that enables us to extend our value proposition with complementary cell chemistries to access new market opportunities. On the manufacturing front, we are taking our biggest step forward so far with our new powered on factory in Greer, South Carolina. This will not only be our first purpose-built high-volume battery manufacturing facility that will multiply our capacity, but we believe it will be the largest battery facility in the United States dedicated exclusively to heavy-duty commercial vehicles to-date. And we remain on track for start of production by end of 2022 and have made significant progress completing the facility over the last few months. We've completed installation of the first module line at the factory last month, and we've begun building the first e-samples of our new S-Series battery on the production line over the last few weeks. We are also working on the installation of the second module line at Powered 1. So bringing it all together, I will conclude the call with three key points. One, we reported record results in Q3 with triple-digit delivery growth at both Proterra Powered and Proterra Energy complementing record transit production and deliveries to drive record revenue of $96 million in the quarter. Two, we believe commercial vehicle electrification demand in the United States has entered a new era with billions of dollars of funding from multiple government programs all starting to become available. And three, through our innovative battery technology, we believe that we have positioned ourselves to be a central player in this industry with a strong balance sheet, healthy production capacity going into 2023, and a leading product platform with a well-positioned product strategy for the future. So finally, I know the strong belief that our team, our culture and our ability to execute has been and will be a competitive advantage. I'd like to thank the Proterra team for their tireless work and commitment to our mission. Our progress is a direct result of our team's effort for which I am thankful and I have every confidence our team will help us remain a leader in this market. With that, we will open up to Q&A.
Operator: [Operator Instructions] Our first question will comes from the line of Mike Shlisky from D.A. Davidson. Please go ahead. 
Mike Shlisky : Yes. Hello. Good afternoon and thanks for taking my question. Can you hear me okay?
Gareth Joyce : We can. Thank you, Mike.
Mike Shlisky : Okay. Great. So it looks like you're targeting almost maybe even a little bit above 100 transit buses in the fourth quarter here, at least that maybe at least. What's your confidence level there that you can actually have the supply chain to get that done? And do you anticipate further expansion in your run rate in 2023, are there any major contract days that can make next year a little bit lumpy from quarter-to-quarter. Would you see a smooth ramp up throughout the year?
Gareth Joyce : Mike, I'll tackle the first part of the question. I'm not sure where you're calculating that number from. Our guide is $300 million to $325 million off of our current year-to-date number, you probably want to have a look at that again. We don't give guidance by business unit. But obviously, as we navigate the -- the fourth quarter, we have a couple of dynamics we've got to think about. One, there's 17% fewer working days in the quarter. Two, from an energy business point of view, a really strong Q3, where a lot of big projects we've been working on came together in the quarter. That business will continue to be lumpy as we've seen in the past. Three, we're still working through a very challenged supply chain environment. So these are all dynamics we had to think about as we considered guidance from now through the year-end. And we're navigating dynamics, but we remain confident that the growth opportunity that lies ahead and the demand that's out there is going to continue into next year, and we're excited about where we're positioned as we go into year-end. Your second question and relating to -- sorry, second question relating to how we see sort of lumpiness in next year, we're not giving guidance on next year at this point. Probably that's something we'll talk about more on our next quarterly call in Q1, which is typically what we do annually. 
Mike Shlisky: Okay. Well, maybe I can just turn just over to your school bus comments, and I definitely won't check my transit bus numbers there. But on the school bus program, -- do you feel that your partner in the Type C school bus Thomas Built will get its fair share of orders from the EPA subsidies? Have you been told that, yes, they can build these buses all the way through but chances given the next tranche that's coming, most of these will be built in time for next school year 2023? And is there a large number coming, I guess, in the second quarter if you had a lot of buses to build by that point or breast are systems to build by that point? 
Gareth Joyce: Yes. So, we -- first of all, I enjoy a very constructive and healthy relationship with the team at Daimler and Thomas Built Buses Group. They just announced, as we mentioned in our script, there Julie battery electric price that's being delivered. So, clearly, momentum building in that business. If you look at the awards under the EPA's Clean School Bus Program, there was 2,350 electric school buses that were awarded funding that was just recently announced. And so Daimler has been a very strong participant in that market, enjoying healthy market share. We've worked together with them, have a lot of confidence in their product. So, I believe that they're going to continue to be competitive in that market segment. As far as volume of bus production goes and those vehicles being delivered to the market, we don't talk about our customers' production volume program forecast because really that is programs that they run. So, I would just close out by saying that we are very excited about the fact that there's strong momentum in the school bus market. We love the fact that the market has responded well to knowing that families are going to put their children or inquire school buses and transport them through and from school. So, it's just great to see that the momentum is building in the market to electrify that product. 
Mike Shlisky: Okay, great. And then I also wanted to ask about Shift Group and the BlueArc product. We saw a vehicle a few weeks back. We drilled it. We loved it. It all sounds good. Right now, they're guiding to a few hundred units next year probably 1,000 in 2024 and then they're guiding to about 3,000 units in 2025. This is not an easy company, they're an old manufacturers, so they don't have nothing to play anything exaggerate out there. So, it does seem like a pretty real guidance based on what they know. I guess my question is on mix. This is a Class III to V vehicle and 3,000 units in 2025 or even 1,000 in 2024. That could be a percentage of your sales by then, given the sheer number of vehicles being delivered. The average selling price to Proterra appreciably lower than, let's say, a school bus or Eldorado saddened to kind of keep mind in our models for 2024, so kind of lower ASP on average, or is it somewhat close to the broader range?
Gareth Joyce: So, first of all, again, Mike, we're not going to comment on our customer's build plans and volume forecasts. But we've been working very hard with the Shift team as they've done the product development on that vehicle and validation testing. Again, we enjoy a really healthy working relationship with our team, and we're very excited to see them bring that product to market. Yes, your question around mix effect is relevant in that, obviously, not all battery electric commercial vehicles are equal. But what we really like is that we're building out a healthy portfolio of product that varies in energy – energy on board, right? So – the fact that, we're developing our portfolio so nicely gives us a good sort of blended mix that we expect will smooth out over time and not see too much lumpiness in mix effects in our volume development.
Mike Shlisky : Okay. Well, that's great color. I'll pass it along. Thank you so much.
Gareth Joyce: Thank you, Mike.
Operator: Our next question will come from Steven Fox of Fox Advisor. Please go ahead.
Steven Fox: Hi. Good afternoon. I'm struggling a little bit with the free cash flow burn over the last couple of quarters. Can you maybe talk about the plan to start moderating these cash flows? There's -- there's -- on one hand, you guys are facing a lot of growth in coming quarters. On the other hand, even though you're calling out recent investments in inventory and AR timing, you're going to face more of those decisions going forward. So how do we get comfortable with the idea that free cash flow burns are going to start to consistently moderate? And then I had a follow-up.
Karina Padilla: Yeah. Sure, Steven. I'll take this one and then Gareth can add anything. Look, if you – so you -- first of all, the $115 million of cash rate is usage this quarter. the highest that we've seen. It was very heavy in investment. As I mentioned earlier, there's $15 million of CapEx due to the almost completion of our Powered One factory. We had $25 million in strategic investments, $16 million tied really to the inventory growth as we get ready to start production in Powered 1, and then $20 million in our accounts receivables due to the late delivery – deliveries late in the quarter that were monthly deliveries so those don't come due. That's strictly due to timing. So if I look at – if I strip out what I'll call, investments tied to the growth of our business. These are specifically tied to strategic deployments for the growth. Really, you end up with $40 million I'd say, of cash usage. So that's roughly 35% of my cash burn in Q3 was – went towards what I would call to run the business. On a year-to-date perspective, if I were to kind of do that same math, -- there's about $140 million of strategic deployment, to help grow the business on, call it, a year-to-date of 2.52%. So over 50% -- about 55% of that is going to strategic deployment. It's really upon the completion of Powered 1 and as we start production that you're really going to start seeing some of that, I'll say, go back to a normal, more of a normal trajectory. But we still – unfortunately, this is a very capital-intensive business as we need to be sure we're able to ramp and start production and need to have everything ready before you generate $1 of revenue of.
Steven Fox: That's very helpful. And then for a second question, on the cost side, you talked about 40% of your contracts are still on legacy terms. What's sort of the time line for shifting that to current inflation approaches? And how does all that play into supply chain that could still get stressed for your products, given all the government funding that's going to be enabled next year? Thanks.
Karina Padilla: So I'll start by saying that, as you know, we started in April in the spring, evaluating all of our contracts. There were some contracts that had inflation clauses in there. That were very easily to work through. There were others that did not. And even though that did not, we had conversation with each of our customers. And as we've mentioned, it's really through the end of 2022 and not until you get into 2023 that you start lapping the legacy contracts. These are contracts that were signed in 2018, so obviously, we've had different varying levels of success on what we have been able to implement. And to be honest, just as you finish implementing one contract, then you get hit with another round of inflation. What we've seen from an inflation perspective continues to be at a historical high. So if I were to just -- at a high level, it's really not until 2023, but you really start seeing the benefit that we lap from the legacy contracts. And all of our contracts going forward on both the transit as well as the power side, do have inflationary clauses in there. And that's just become our standard contract practice. And I'm sorry, I think you had a follow-up question on supply chain?
Steven Fox: Yes, within that context, manage – it’s continuing to manage the supply chain inflation, given what you just highlighted, that could be a very strong against a very strong growth year, especially for buses next year?
Gareth Joyce: Yes. I think Steve, I'll chime in here. The supply chain continues to be a challenging environment. And we've developed our management operating systems, during the course of this year to become more agile and flexible to deal with is a very unique sort of circumstances we've been in for some time now, nearly two years. So we expect that to continue going into next year. It does two things for us. Number one, it obviously means that you're having to navigate the challenge of availability, but also the pricing pressure on the inflation side. But in addition to that, it continues to drive some inefficiency in our operations because you're really not flowing your production lines as efficiently as you would like to and can. So that's going to be a factor that will continue into next year as we look ahead. And we've just been increasingly developing our competence to be able to manage our way through that. So -- the good news, as Karina said, I think on the contract side, we've done a lot of work this year to negotiate with our customers, improved pricing positions. We'll start to see the impact of that going into 2023, but certainly, it is not a normal environment yet from a supply chain point of view. So we're going to have to continue to be really focused on that. Having said that, I would say that we've talked about this on a number of calls. We've also been very intentional about building out our team, our leaders with experience in running scaled companies and as now scale up business, not a start-up, increasingly developing the competence around executing an environment like this, and we want to just continue to develop our track record for delivering against plans.
Steven Fox: Great. That's very helpful. Thank you.
Karina Padilla: Thank you.
Gareth Joyce: Thank you.
Operator: Our next question will come from Jordan Levy with Truist Securities. 
Jordan Levy: Good afternoon, Gareth, Karina, Aaron. Glad to be on the call and appreciate you all taking my questions. First, on Proterra Energy, clearly, a very strong quarter for that group. As you move into next year, I wanted to get a sense of your comfort level as it relates to that segment's capacity. And ability to meet potential increases in infrastructure demand as your power volumes -- maybe your transit volumes ramp up, is supplier capacity where needs to be, should we be thinking about that sort of time?
Gareth Joyce: Hi Jordan. The sound quality on your mic is not prudent. I think I've got the direction of the question. Yes, the energy business unit as part of Proterra Power and Energy had a very strong quarter. We are seeing an increasing awareness in the market of the need to make sure the infrastructure dimension of the deployment of battery electric commercial vehicles now sort of keeps up with the appetite to deploy the vehicles themselves. So, certainly, there's awareness amongst our customers. And I do believe that we will see increasing levels of focus being placed on infrastructure deployment to make sure that we not only have the vehicles on the road, but we have the ability to keep the vehicles on the road. So we've been very intentional about our business model for some years now. We like our product portfolio. We're positioned well with our transit buses and a part of the market that it was an early adopter and is maturing very nicely. Out of that, obviously, we recognize the need to develop the energy infrastructure, and we're now starting to see that roll over into the other segments where you're seeing the adoption of the battery electric commercial vehicle. So, we like the way we're positioned with our business model. Obviously, very healthy spectrum of customers going to develop for power as well, so using the technology out of the transit powertrain and scaling that part of the business, it really is starting to work well for the total product mix and product portfolio.
Jordan Levy: That's great. Can you hear me better now?
Gareth Joyce: Yes. Thank you. That is better.
Jordan Levy: Good. And just as a follow-up on the battery cell investments you all mentioned. Just curious if that's an area you're all going to continue to explore opportunities, or was this more of a unique opportunity. And I guess, along with that, is it fair to say, this would imply you've all been comfortable with any LFP tests that you may have done so far?
Gareth Joyce: Yes, Jordan, very important topic. So thanks for asking that. What we've come to learn in the market is that, not all commercial vehicle customers require high-energy density batteries for their vehicles. We obviously are -- we build our product portfolio today on that core technology, NMC technology cylindrical. We have an industry-leading product. But we recognize that there is a segment of the market that's also looking for something different, more competitively priced and so adding LFP to our product portfolio, we think expands our market potential on the one hand. And on the other hand, it importantly, will provide us with US-made LFP cells, which gives us implicitly additional capacity at a time where access to cell capacity is a strategic advantage. So we like the combination of those two factors as an additional element of fueling our growth potential into the future.
Operator: And we will take our next question from Sherif El-Sabbahy from Bank of America. Please, go ahead.
Sherif El-Sabbahy: Hi. Good evening. So I just wanted to ask, with the legacy contracts you've discussed rolling off into 2023, how should we think about the impact to gross margin overall in the fourth quarter, just given the past commentary of supply chain to be relatively flat year-over-year.
Gareth Joyce: Yes. I think Q4, as I started off by saying we've got supply chain constraints remain a factor for us to consider. And so some of the inefficiencies we've seen already this year will persist through Q4. Obviously, the inflationary pressure is still there. So I think the pressure we've seen on gross margins will persist in the short term.
Sherif El-Sabbahy: Understood. Thank you.
Operator: [Operator Instructions] Our next question will come from Tyler DiMatteo from BTIG. Please, go ahead.
Tyler DiMatteo: Hi, everyone. Thanks for taking the questions. So if I could just go back to the equity investment on the LFP supplier. From an IRA perspective, I imagine that gives you the option for the $10 per kilowatt hour credit on that front, just to clarify. And then, also, I guess, broader picture here. How do you think about supplying the different end markets with the different chemistry? I mean, we hear a lot of LFP, as you alluded to. Just trying to get a sense as to what that would mean for your business over the next couple of years.
Gareth Joyce: Yes. So on the IRA, we expect to qualify for the $10 per kilowatt hour battery module credit in all of the facilities where we're producing our batteries today. In the instance of the expanded product portfolio to include LSP cells, we would expect to continue to enjoy the credit for our battery module production, independent of which cells we're using. Of course, there is a cell credit that goes along with the IRA legislation. That obviously sits at the cell manufacturing level. So that is a fairly fresh legislation, as you know, and we're actively working to understand that legislation and in particular, how the tax treatment of the accounting on that will develop. But nevertheless, as I said, we expect to qualify for that $10 per kilowatt hour battery module credit for all of the battery modules we're manufacturing, independent of the cell that goes into it. So, we do think both the investment into this expanded sort of product portfolio opportunity that opens up more market potential for us on top of the market that we have high confidence in our current nickel-based chemistries for today, combined with obviously the benefits of supportive legislation around these tax credits really does position us well for growth into the future long-term. So we feel really confident about our strategy.
Tyler DiMatteo: Okay, great. And if I could just get another one in here. So in terms of the charging business, I think at one point, you said that 80% of transit customer’s also purchased a charger. I guess, can you provide some further color on the breakdown of maybe trends versus non-transit, and how you are viewing that business moving forward, please?
Gareth Joyce: Just for clarity, are you talking about the development of the -- deployment of energy charging infrastructure for non-transit products. Was that the question?
Tyler DiMatteo: Yes, yes.
Gareth Joyce: Yeah. As you saw in this quarter's numbers, we were very excited about the fact that whilst we had a strong quarter for energy that was largely off the back of infrastructure deployed for transit bus charging. We also did see a very healthy demand pattern developing for non-transit product particularly around school bus sites as we're seeing electrification pickup and adoption pickup in that segment. So we expect to see that pattern developing that as the market segment picks up, where the vehicles start to come into production and come into the market, we expect to see the energy infrastructure demand follow that, because it's kind of intuitive that for the product to operate, you've got to have the charging infrastructure in place. So that pattern, we think, will continue.
Tyler DiMatteo: Okay, great. Thank you for the time. I'll turn it back to the queue.
Operator: And we have a follow-up from Mike Shlisky from D.A. Davidson. Please go ahead.
Mike Shlisky: Yes, thank you. I wanted to follow-up with another question about the IRA and what it means to Proterra. You've talked a lot about some of the credits are available for modules, some of your customers and then you're just getting credit for buying vehicles. Is there anything available to Proterra either from the ATVM loan program or other programs where you can potentially reduce your CapEx going forward, or because Gillig [ph] has almost done, it's probably too late. Is it more for your customers to get their own loans for their own manufacturing facilities going forward?
Gareth Joyce: Yeah, Mike thanks. Yeah, we're very focused on our capital strategy. We work actively on that as part of our strategic plan. And, yes, we very much look to the various opportunities of funding there available to one example, you just mentioned government loan programs, ATVM being one of them, there are grants, location based grants. These are all key dimensions of our capital strategy that we've got to look at. And the ATVM loan program is something we are very familiar with and certainly value the opportunity that, that could present for us.
Mike Shlisky: All right. Thanks for the answer. I appreciate it.
End of Q&A:
Operator: And that will conclude the time for our question-and-answer session. At this time, I would like to turn it back to Gareth Joyce for any closing remarks.
Gareth Joyce: Yeah. Thank you. Well, first of all, I really appreciate the time you spent with us today. It's been a great year for us. Our results in Q3 were very exciting, as you see the growth in the business starting to show in our results with records across both business units. We look forward to finishing out 2022 with strong momentum. And the entire team here is extremely excited about 2023, and what the future holds for us in the electrification of commercial vehicles in the US and beyond. So thank you for the time today. We appreciate it, and enjoy the rest of your day.
Operator: And that will conclude today's conference. Thank you for your participation. And you may now disconnect.